Operator: Good morning, ladies and gentlemen and welcome to the Sabre Fourth Quarter and Full Year 2022 Earnings Conference Call. My name is Olivia and I will be your operator. As a reminder, please note today’s call is being recorded. I will now turn the call over to the Senior Director of Investor Relations, Brian Roberts. Please go ahead, sir.
Brian Roberts: Thanks, Olivia, and good morning, everyone. Welcome to Sabre's fourth quarter and full year 2022 earnings call. This morning we issued an earnings press release, which is available on our website @investors.sabre.com. A slide presentation, which accompanies today's prepared remarks, is also available during this call on the Sabre Investor Relations webpage. A replay of today's call will be available on our website later this morning. We would like to advise you that our comments contain forward-looking statements that represent our beliefs or expectations about future events, including the duration and effects of COVID-19, industry and recovery trends, benefits from our technology transformation and commercial and strategic arrangements, our financial outlook and targets, expected revenue, adjusted EBITDA, free cash flow, costs and expenses, cost savings, margins and liquidity among others. All forward-looking statements involve risks and uncertainties that may cause actual results to differ materially from the statements made on today's conference call. More information on these risks and uncertainties is contained in our earnings release issued this morning in our SEC filings, including our Q3 2022 Form 10-Q and 2021 Form 10-K. Throughout today's call, we will also be presenting certain non-GAAP financial measures references during today's call to adjusted operating income, adjusted net income, adjusted EBITDA, adjusted EBITDA margin, adjusted EPS and free cash flow have been adjusted to exclude certain items. The most directly comparable GAAP measures and reconciliations for non-GAAP measures are available in the earnings release and other documents posted on our website@investors.saber.com. Participating with me are Sean Menke, our Chair of the Board and Chief Executive Officer; Kurt Ekert, our President and Mike Randolfi, Chief Financial Officer. With that, I'll turn the call over to Sean.
Sean Menke: Thanks, Brian and good morning everyone and thank you for joining us today. On Slide 4 you can see an overview of the topics Kurt, Mike and I will cover on today’s call. I’ll review our many achievements for 2022, and then outline how these support our long-term objectives. Kurt will then review the latest industry trends, and review our plan for 2023 and beyond. He will also highlight the substantial progress we made in the fourth quarter and in 2022 toward our technology transformation. Further, he will also provide additional detail on key commercial accomplishments and review the important partnerships that we renewed and expanded upon in 2022. Finally, Mike will take you through the financial results of the quarter and year and our financial outlook for 2023. Before I start, I want to thank my Sabre team members worldwide. 2022 was a year of progress and recovery. The global pandemic brought on by COVID-19 in 2020 had a significant impact on the travel industry, and Sabre. Despite those headwinds, the Sabre team in 2022 made significant forward progress with our technology transformation, provided best-in-class service to our customers and won new business. I am extremely proud of what we have accomplished to date and what we will do for years to come. Turning to Slide 5; 2022 was a year of many accomplishments. Our revenue recovered to $2.5 billion. We returned to positive adjusted EBITDA. We generated positive free cash flow as we exited the year, and we continued our significant progress on our strategic initiatives. Sabre reached an important, positive inflection point. With these key financial metrics now positive, we expect the trend to continue, which we believe will give us the opportunity to delever our balance sheet. Our technology transformation is delivering financially and operationally in-line with our previously stated goals. With the end in sight, our cloud-based infrastructure is more scalable, distributed, and secure than the prior mainframe environment. Just as importantly, it allows us to build more advanced and agile products and capabilities to serve our customers for the years to come in the way we planned. We solidified key partnerships with travel management industry leaders BCD and AMEX GBT. We expect these partnerships will be a meaningful volume driver for Sabre going forward. In addition, we renewed and extended important agreements with many of our airline customers including American, United and, most recently, JetBlue. As you can see on this slide, in 2023, we expect to see meaningful growth in adjusted EBITDA, and to generate full year positive free cash flow. We are very encouraged year-to-date by volume trends which are in-line with our plan. Over the long-term, we maintain our bullish view of a significant global recovery and growth, but our near-term management of the business will continue to be based on steady improvements in global volumes, with a strong emphasis on cost management to be free cash flow positive in 2023. Turning to Slide 6; we are optimistic over the long-term with regards to the travel recovery based upon historical booking trends, favorable indicators from airlines related to the demand environment and their desire to grow capacity, geographic regions continuing to open, and renewed improvements in corporate travel. As this chart shows, we believe the opportunity for volume recovery as global travel normalizes is significant. In 2022, the demand recovery was uneven, driven by a resurgence in COVID-19 cases at the beginning of the year, airline and airport operational constraints, airline capacity limits, and regional travel restrictions. We believe some of these factors negatively impacted the recovery in the latter half of the fourth quarter of 2022. As mentioned in my earlier comments, we believe those negative impacts were temporary, and we have seen volumes improve in the New Year. To get into more of the details let me now turn the call over to Kurt. Kurt?
Kurt Ekert: Thank you, Sean. And let's turn to Slide number 7. Before I discuss the latest industry trends, I will briefly revisit the guidance we provided in our last earnings call, and discuss why the results for the quarter did not meet our expectations. As Sean mentioned, shortly following our November earnings call, the upward trajectory of volume growth that we previously experienced was interrupted in corporate travel and in Asia-Pacific in late November and through the month of December. As you can see from this volume chart, the trajectory of the recovery in 2022 was higher overall, but uneven. The total distribution bookings recovery in the Q4 was 59% versus the same period in 2019. This 59% bookings recovery equates to a 65% revenue recovery as a result of the higher booking rate achieved in the Q4 of 2022 versus the Q4 of 2019. Higher revenue per booking resulted from a continued favorable mix. Importantly, we are already seeing improvement in both corporate travel and Asia Pacific volumes in 2023, through early February. To put numbers behind it, the year-to-date recovery in our travel management company business is about nine percentage points above December levels, and has strengthened on a sequential weekly basis. Accordingly, we believe the late 2022 recovery set-backs that we saw for both corporate travel and Asia Pacific are likely to prove temporary given the positive recovery trends we are now once again seeing. To illustrate this point, we’re now realizing a return of group bookings coming out of Asia that are reminiscent of pre-COVID travel patterns. Despite the fluctuations in air bookings in recent months, we believe several key trends are supportive of continued air traffic growth through 2023. Airline capacity is expected to rise as aircraft deliveries accelerate and operational constraints that have curtailed growth abate. We believe this additional capacity is likely to unlock robust consumer and corporate demand, evident from higher, or excuse me, from elevated air fares that have not limited industry load factor improvement. As we look at the balance of 2023, we are optimistic on overall demand and recovery levels moving forward, but prepared for the possibility of further unevenness in 2023. Accordingly, we will be responsive to changes in volume growth and control cost as needed to focus on achieving positive free cash flow this year. And while we will adjust as needed to external market conditions, we remain focused on the key long-term strategic opportunities for our business.  We are confident in our ability to grow our distribution business, underpinned by our solid partnerships with many of the largest travel management companies, brick-and-mortar and online agencies in the world. We are winning consistently across both retention and conversion opportunities and are pleased with our strategic positioning in our core GDS business. We believe the investments we are making in product and sales should continue to drive growth in our air bookings. To illustrate this, note that we have realized increased share with nearly three quarters of the largest 20 travel agencies so far in 2023. Turning to IT solutions; passengers boarded recovered 90% in Q4 versus the same period in 2019. Looking ahead, we are encouraged by the opportunities to grow our PSS and airline commercial product offerings, including our innovation in next-generation retailing and merchandising.  And Hotel CRS transactions in Q4 were 104% compared to the same period in 2019. We believe our Hospitality Solutions business is primed for strong growth, both in its core CRS ordering as well as the new retail studio and Nuvola products.  As I mentioned previously, 2023 year-to-date volumes across each of our key businesses improved from December, specifically through February 9, year-to-date, air distribution bookings were 62% versus the same period in 2019. IT Solutions passengers boarded were 94% and CRS transactions were 125%.  Now please turn to Slide number 8. I'm pleased with the progress we made in 2022 on our 2 key technology milestones for the year. The migration to Google Cloud, and the offloading of passenger name record. During 2022, we completed the exit of our Sabre-managed data centers, including Plano, Louisville, Carrollton and Austin. All told during 2022, we decommissioned approximately 13,000 servers from these sites and another 1,500 servers from our Tulsa data centers operated by DXC. We ended the year with approximately 66% of our total compute capacity in Google Cloud, ahead of our original goal. Our mainframe offload program continued to make great strides, and we significantly exceeded our 2022 all load savings goal. Development work for offloading passenger name record, our primary customer reservations database has been completed, and customer migrations are on track to complete this year.  Additional key accomplishments during the year included moving all air shopping to Google Cloud, which enabled us to realize our planned savings and data processing costs due to the reduced cost of Google Cloud Compute and multiple shopping optimization efforts. We also migrated our SynXis central reservation system and property management system to Google Cloud, thus fully completing the transition of our Hospitality Solutions business to the cloud.  The chart on the right-hand side of this slide reiterates the significant savings and margin improvement that we expect our technology transformation to deliver in the coming years.  Turning to Slide 9; consistent with our strategy, our unit cost of compute has continued to decline as we migrate our systems to our lowest cost infrastructure, Google Cloud. In Q4, our average monthly unit cost of compute fell 8% sequentially from the third quarter. And we finished 2022 25% below our 2021 unit cost of compute. And please keep in mind, this savings does not include the long-term opportunity to optimize our systems on Google Cloud, which we believe can drive additional cost efficiencies.  Turning to Slide number 10; this slide again shows how Sabre's computing volume has changed over the past three years, and how we expect it to change by the end of 2024. During Q4, we increased the proportion of our toll compute volume on Google Cloud by 16 points from the third quarter. By the end of 2024 as per our original plan, we expect Google Cloud to represent nearly all of our computing volume. We continue to expect that by significantly reducing the complexity and increasing the agility of our technology architecture, we can better serve our customers at a significantly lower overall cost.  Before I turn the call over to Mike, I want to highlight some of our many commercial accomplishments in 2022. Last year, we signed distribution agreement renewals with several global flagship carriers, including American and United. These agreements extend and enhance our partnerships with these carriers. And we plan to collaborate to utilize Sabre technology and solutions to help them enhance their product offerings and to respond faster to consumer demands in the evolving travel marketplace. We remain confident in the value we bring to our customers and expect to win additional distribution agreements in 2023 and beyond.  We also recently announced the extension of our long-term and deep JetBlue PSS and distribution relationships and should their proposed merger be approved, we believe we are very well positioned to help JetBlue expand. Back in November, we also announced a new partnership with Mastercard to accelerate the use of virtual cards for business-to-business travel payments. This announcement builds upon our acquisition of Conferma, which we acquired in August 2022 and furthers our strategy to create an open and independent travel payment ecosystem.  We are excited to work with an industry leader with the scale and capabilities of Mastercard and believe that the growth opportunity from virtual cards in the coming years will be substantial. We also strengthened our relationships with travel agency leaders such as American Express Global Business Travel, BCD Travel and Hopper. Our new agreements and joint technology partnerships with GBT and BCD are providing incremental bookings to Sabre's network and are expected to continue to drive additional growth as migration continues, while also yielding opportunities to improve our customers' overall experience.  The key takeaway for the many partnerships that we expanded in 2022 is that many of the largest travel providers in the world want to do business with Sabre. And we continue to focus on providing the highest level of service and product innovation to our many global partners. Sabre processed over one billion total transactions in 2022, and we are excited to continue playing a central role in the global travel recovery in 2023 and beyond. Mike, over to you.
Mike Randolfi: Thanks, Kurt, and good morning, everyone. Please turn to Slide 11. As we discuss Q4, I'd like to begin by reiterating some context on recent trends, specifically how we saw volumes evolve throughout the quarter and how that influences our plans going forward. During our third quarter conference call, vacated expectations of a Q4 air bookings recovery in the low 60% range and adjusted EBITDA for the fourth quarter of approximately $30 million. As Sean and Kurt stated, volume trends in late November and December were not as strong as expected, which was the primary reason we missed our Q4 recovery and adjusted EBITDA guidance.  What we have learned over the last three years is that the volume recovery trajectory remains upward, but uneven. Given that context, we continue to have a heightened focus on cost control such that we are targeting for expenses to grow at a significantly slower rate than revenue to support our adjusted EBITDA and cash flow targets that are aligned with the guidance we have provided today. We expect to be free cash flow positive on an annual basis in 2023 and believe we are on track for our 2025 targets.  Additionally, I would like to reiterate that as we transition to generating positive free cash flow for the full year 2023 and beyond, we view the highest priority of that free cash flow generation to be reducing debt and delevering our balance sheet with the long-term goal of being between two and half times to three and half times net debt to adjusted EBITDA. Total Q4 revenue was $631 million, an increase of $130 million or 26% versus last year. Distribution revenue totaled $417 million, a 46% increase compared to $286 million in Q4 2021. Our distribution bookings totaled $76 million in the quarter, a 32% increase compared to $58 million in Q4 2021.  Our average booking fee was $5.49 in the fourth quarter, which compares to $5.38 last quarter, $5.35 in Q2 2022 and $4.96 in the fourth quarter of 2021. We continue to see favorable mix into more profitable regions and types of travel, resulting in higher booking fees, and we believe this trend is likely to continue in 2023. IT Solutions revenue totaled $157 million in the quarter, this is a decline versus revenue of $165 million last year.  Passengers boarded totaled $168 million, a 30% improvement from $129 million in Q4 2021. To provide more context on this line item, on a year-over-year basis for the quarter, we experienced a $25 million benefit from higher volume offset by no longer having air center revenue of approximately $30 million and lower revenue from our airline IT business in Russia of approximately $4 million as compared to Q4 2021.  We realized the migration of our Russian airline IT business in Q4 as a result of changes in Russian law. Looking forward in 2023, we expect an approximate $100 million headwind to our IT solutions revenue, the vast majority of which is the result of the impact of the Russian law. Additionally, as a reminder, we sold our air center business at the end of February 2022.  And in Q1 2022, we realized approximately $35 million in revenue from this business. Please note that these impacts are incorporated into the guidance that we are providing today. Hospitality Solutions revenue totaled $65 million, an improvement versus revenue of $54 million in Q4 2021. Central reservation system transactions totaled $27 million in the quarter and were 16% above $23 million in Q4 of 2021.  Adjusted EBITDA of $1 million was better year-over-year as compared to negative $26 million in Q4 2021. The year-over-year improvement in revenue in the quarter was partially offset by increased Travel Solutions incentive expense and Hospitality Solutions transaction fees from higher volumes. As expected, our technology cost increased due to higher variable hosting costs associated with the volume recovery and higher labor and professional service expense associated with our technology transformation.  Free cash flow was $22 million in the fourth quarter, which benefited from seasonally strong working capital inflows. Our team also successfully refinanced the remainder of our term loan B in November with our nearest debt maturity now being April 2025. In addition, we entered into an accounts receivable securitization on February 14, 2023, which we expect to contribute approximately $100 million to our available liquidity base when funded.  This transaction will be recorded in the financing section of our cash flow statement. We view this securitization program as a very efficient financing that is largely debt neutral when taking into account the paydown associated with the Air Center proceeds. As a reminder, pursuant to our sale of Air Center, we are required to pay down debt with any uninvested proceeds from that sale by May 24, 2023. Currently, we expect that amount to be approximately $80 million. We ended the fourth quarter with a cash balance of $816 million.  Turning to Slide 12; moving to guidance. As we look to our earnings cadence throughout the year, we remind you that the first quarter is the seasonally strongest bookings quarter of the year. With that, we expect first quarter 2023 revenue of approximately $725 million and adjusted EBITDA of approximately $50 million. As we discussed last quarter, the fourth quarter is typically the most favorable from a working capital and free cash flow perspective. Following that, the first quarter typically experiences higher working capital and cash outflows.  Therefore, it is typically the weakest quarter from a free cash flow perspective. This seasonality is driven primarily by timing of when we received partner receipts in the fourth quarter versus when we make agency payments to partners in the first quarter. Additionally, during the first quarter, we will have cash outflows of approximately $60 million for our 2022 annual incentive compensation payments. Hence, we expect negative free cash flow of between $80 million to $90 million in the first quarter.  As we progress through the year, we expect meaningful sequential improvement in free cash flow generation. For the full year 2023, we expect revenue between $2.8 billion and $3 billion and adjusted EBITDA between $300 million and $320 million. To provide further context for our revenue projection, for distribution, this outlook assumes continued incremental improvement in the trial recovery and some benefit from a higher average booking fee. Regarding IT Solutions, as a result of the $100 million headwind and the impact of the air center disposition in Q1 2022 mentioned earlier, we would expect modest year-over-year declines in IT Solutions revenue throughout 2023, with the year-over-year decline being greatest in Q1 2023.  For Hospitality Solutions revenue, we expect it to exceed 2019 levels. We expect our 2023 total revenue growth to have strong flow-through to adjusted EBITDA, given that at current volume levels, our cost structure is roughly 40% variable and 60% fixed. Additionally, we see efficiency, including the benefit of a lower cost of compute, helping to offset other inflationary pressures. In 2023, we expect to generate approximately $25 million in working capital benefit from growth in our business, and we are targeting $125 million of working capital initiatives, which we expect to begin delivering value in the second quarter. We expect our 2023 capital expenditures to be between $50 million and $60 million. Our annual net cash interest expense based on our current debt profile and expected interest rates, is approximately $390 million.  Our net fixed to floating debt is about 70% to 30%. Every change in interest rates of 25 basis points changes our annual interest expense by about $3 million. Collectively, we expect to generate positive free cash flow in 2023 and on an annual basis thereafter. As we look at our 2025 targets that we have previously provided and are reiterating, we expect adjusted EBITDA to grow at least $600 million between 2023 and 2025 and to be greater than $900 million in 2025.  At a high level, the contribution to adjusted EBITDA growth are expected to come from 3 key drivers, each having a roughly equal contribution to our goal. For the first driver, we expect to continued travel industry recovery and ultimately, higher distribution and passenger boarded volumes than today. For our second driver, our technology transformation, which we expect will enhance our product development cycle is expected to also result in meaningful expense reductions by 2025 as compared to today. The third driver is an expected mix of additional opportunities supported by recent agency wins, growth in IT Solutions, a shift to adjusted EBITDA generation for Hospitality Solutions, growth in virtual payments from Conferma and a continued emphasis on cost control. In conclusion, we are confident in our ability to deliver on our long-term strategic and financial objectives. We expect our technology transformation to provide substantial operating leverage to our business, and we remain optimistic that the global travel recovery will continue, but plan to be responsive if necessary to ensure we achieve positive free cash flow in 2023. Operator, can you please open the line for questions.
Operator: [Operator Instructions] And our first question coming from the line of Matthew Broome with Mizuho Group.
Matthew Broome: So I guess, firstly, could you maybe provide a little bit more context as to what impacted the recovery in November and December? Was it limited to corporate and APAC? And really, what were the reasons for that?
Kurt Ekert: Matthew, thank you. This is Kurt. So as I discussed during the prepared remarks, what we saw was basically an interruption in one, corporate travel; and two, Asia Pacific travel. There were certainly some other changes, but those were the two primary factors. The good news, as I indicated, is that as you look at the first 5 to 6 weeks of this year, we're seeing trading return to the trend levels that existed before that back half of Q4. And so we believe that what we experienced in Q4 was an interruption in a long-standing recovery that we expect to continue going forward.
Matthew Broome: Okay. And then sort of looking ahead in terms of your guidance, what level of bookings growth is sort of baked into that? And -- and I guess, how confident are you that the capacity constraints in travel that we saw last summer has now been resolved?
Mike Randolfi: So in terms of the bookings recovery incorporated in our guidance, we're basically -- if you look at where we ended the year, we ended the year in the fourth quarter with a bookings recovery around 58%. We entered the year somewhere right around 60%. Inherent in our guidance today is the assumption of a steady incremental recovery from where we are.  We're not assuming a big inflection of. We're just assuming a steady incremental study incremental recovery. In terms of constraints on the airline side, when we listen to our airline partners, they're working diligently to remove those constraints, which are primarily pilot training, hiring pilots and new aircraft, but they've also indicated it's going to take time to remove those constraints. So what we see is that the airlines are responding by trying to address those constraints. And as we move forward, there will be consistent increases in capacity likely as those constraints are removed, but they will continue to take time to us off.
Kurt Ekert: And Matt, just let me add one last point, which is if you look at our GDS distribution business historically, we had about a 50-50 mix on corporate versus leisure and about a 50-50 mix on domestic versus international flights. Those obviously are very different numbers that you see in the broader airline distribution marketplace.  And so as capacity begins to come back, we believe that benefit will accrue relatively more toward corporate travel and to international bookings and that our distribution business to outgrow the airline distribution marketplace overall.
Operator: Our next question coming from the line of Joshua from Morgan Stanley.
Josh Baer: I wanted to ask a couple on the GDS booking segments. So first on hospitality, like the recovery in CRS trends and hospitality revenue is terrific. The losses are getting larger, though. So just wondering like what will it take for this business to become profitable? And assuming there's some sort of near-term tech cost headwinds or something else? Like what -- how should we think about the normalized margins for the segment?
Kurt Ekert: Yes. Thank you. This is Kurt. Good question. So as you look at Hospitality Solutions and you look at 2022, the revenue and the trending that we were seeing as a result of one of a strong sector recovery in hopitality; two, as a result of us taking more opines in growing our CRS business. As we look forward to 2023, we expect to see strong top line growth in CRS as well as the new product offerings I mentioned during the prepared remarks. We do expect that, that business will be in the range of breakeven on an EBITDA basis for this calendar year and begin to become a strong EBITDA contributor in the years ahead.
Josh Baer: Okay. And then just wanted to dig in on the IT Solutions headwinds. So Air Center closed in Q1 of '22, right?
Sean Menke: Correct. Yes, at the end of February.
Josh Baer: So just like thinking through the impacts, like passengers boarded grew 30%. And then in Q2 and Q3, we saw some nice growth year-over-year in IT solutions that also didn't have Air Center, not sure the $4 million alone from Russia sort of explains that. Is there any more context to help sort of piece together what happened in Q4 with IT Solutions revenue? And then also, I'm wondering about the -- just like where this $100 million headwind is coming from on the Russian law, like any more context there? And I think there was some commentary that it's like the vast majority is from of that $100 million headwind is Russia loss. So what else is in there?
Kurt Ekert: Thanks. And let me start, and then I'll pass over to Mike to finish up. So I think it's important to take a step back as you look at airline IT what we experienced in Russia with the IT carrier demigration there was a consequence of local Russian law that was enacted last year. That had nothing to do with our performance or the quality of our technology.  If you normalize that out and you look out over the last three to four years, our wins and losses on a PV basis are relatively neutral for the company. And we believe going forward, there is a good growth opportunity within the Airline IT Solutions suite. Now, I'll pass it to Mike.
Sean Menke: Yes. And so let me just dive into a couple of different pieces. First, as you noted on the Air Center, there was about $35 million in revenue in Q1 of last year that we will not have this year due to the sale. Secondly, with regards to the $100 million, which is the vast majority of which is Russia, and there are some other demigrations in there. But the vast majority of that is Russia given the change in Russian law occurred during the fourth quarter, the majority of the revenue that was recognized associated with Russia was in the first three quarters of this year. So what you see going from Q3 to Q4, is a step down largely attributable to Russia. Now as we look at $100 million, that we referenced because most of that was revenue that was generated in the first three quarters of this year, that will create the greatest headwind in the first three quarters of 2023.
Operator: [Operator Instructions] Our next question coming from the line of Victor Cheng from Bank of America.
Victor Cheng: A couple, if I may. But first on the Russian impact of $100 million and then you said that $100 million is coming from mostly from the first three quarters. It seems just look at the Russian carrier PBs, it seems disproportionately big in terms of million of revenue. I would expect a much smaller amount. So I'm not sure whether you can shed some light into that. And then the other one is on tech savings. Obviously, you talked about $100 million -- or $150 million tax savings by 2025. If I remember correctly, is that based on an 80% recovery. So presumably, we're not expecting 80% recovery by '25. So what are your expectation on level of recovery in '25 and given that level of recovery, what is the actual tax savings that we should be looking at?
Sean Menke: Yes. So with regard to your first question, as you think about the $100 million impact, the one thing I would point you to, and we called this out on the Q1 earnings call, that there was approximately $24 million of previously deferred revenue that have been recognized in the first quarter. And similarly, there's about another $5 million in the second quarter of 2022. So that may be why the number is larger than what you're contemplating.  With regard to tech saving first, let me just start by -- we are optimistic that there will be a full recovery over the long run. That is our point of view that's consistent with what we hear from our airline partners. That's consistent with what they on their earnings calls and what they say publicly. Now our financial objectives are not predicated on a full recovery, but we do believe one ultimately is likely to ensue. And as noted today, we are reiterating the targets we provided for 2025 at the greater than 80%, greater than 100% and greater than 120% recovery levels.  And as we previously stated, at the greater than 80% level, we expect tech savings to be $150 million. That's a greater than 100% recovery level we would expect the tech savings to be about $100 million. But obviously, that would be welcomed out that rate of recovery.
Victor Cheng: Got it. That's very clear. And then maybe 1 follow-up, if I may. How should we think about the revenue per booking trend going forward? Is room for inflation-related uplift? And again, is there room for mix improvement, I guess, as APAC reopens?
Kurt Ekert: Victor, thank you. As we have discussed, we believe that there's ample upside both in corporate and international recoveries within our distribution business. Because of those, we believe that there's positive mix opportunity in 2023 and in the years ahead. So we believe there's upside to our average booking fee or revenue per booking.
Operator: And I'm showing no further questions at this time. I will now turn the call back over to Mr. Menke for any closing remarks.
Sean Menke: Great. Thank you very much, and I want to thank everybody for joining us today. As you can see, as we talked about 2022 and as we think about 2023, there's been a lot of progress on our tech transformation to date. This is another big year for that, but the team has done an amazing job, and we're beginning to see really the efficiencies on the cost savings.  As we look at 2023, I am excited about what we're doing as it relates to the product side, what we're doing on Airline IT, hospitality, IT as well as distribution, Kurt walked you through numerous things that are taking place there.  And again, I think we're very focused on what we look at as the recovery continues to take place in the marketplace, which will allow us to really focus on free cash flow generation in the year. So again, a lot to talk about throughout the year, and thank you for joining us today.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation. You may now disconnect.